Operator: Greetings and welcome to Gaming and Leisure Properties Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Joe Jaffoni, Investor Relations. Thank you, sir. You may begin.
Joe Jaffoni: Thank you, Christine, and good morning, everyone, and thank you for joining Gaming and Leisure Properties’ second quarter 2020 earnings call and webcast. The press release distributed yesterday afternoon is available on the Investor Relations section of the company’s website at www.glpropinc.com. On today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. Forward-looking statements may include those related to revenue, operating income and financial guidance, as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management’s current estimates and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to risk factors and forward-looking statements contained in the company’s filings with the SEC including its first quarter 10-Q and in the earnings release, as well as the definitions and reconciliations of non-GAAP financial measures contained in the company’s earnings release. On this morning’s call, we are joined by Peter Carlino, Chairman and Chief Executive Officer; and Steve Snyder, Chief Financial Officer at Gaming and Leisure Properties. Also joining today’s call are Desiree Burke, Senior Vice President and Chief Accounting Officer; Brandon Moore, Senior Vice President, General Counsel and Secretary; Steve Ladany, Senior Vice President; and Matthew Demchyk, Senior Vice President of Investments. With that, it’s my pleasure to turn the call over to Peter Carlino. Peter, please go ahead.
Peter Carlino: Thank you, Joe and good morning everyone, and thank you for joining our second quarter earnings call. As you all know, there have been eventful and unprecedented challenges that we and our triple-net competitors have faced this quarter. But I think on balance GLPI has weathered the crisis extremely well. As always, our team has issued a very detailed summary of activities over the quarter. So, I limit my summary remarks, but I think the important net result is that we have received 99, if I can get that word out, percent of our contractual rent through July. Additionally, I think we’ve proved to be very flexible in helping our tenants meet liquidity or other business challenges in order to ensure that their long-term viability and success. As you all recognize by now, the partial opening of all, but a few of our tenants properties has produced stunning and unexpected results. Business volumes are surprisingly strong, but margins have proven to be even stronger. We expect to hear the same result from Penn National when it reports on August 6. This is probably the best time for me to say, what I’ve been saying for years, and that is my belief that the real strength of our industry lies with the regional properties, not on the Las Vegas strip. Not only is the cash return on invested capital better, certainly with all the properties I’ve been involved with over the years. But you’re about to see again, that the resiliency of our tenants, regional properties far exceeds that of destination properties in Las Vegas; however, wonderful and exciting they might be. Let’s be clear. I’m not suggesting that Vegas properties are not extremely valuable, they are. But I want to make the case and I think this demonstrates it, that regional properties have long been undervalued and we deserve equal or even greater appreciation for that. Another bright spot that I would highlight is that within the triple-net space, our company is uniquely will collect virtually, a 100% of our rental income. Further, our tenants are largely distinguished public companies, whose earnings and issues are largely transparent. Not a lot of guesswork for investors about the health of gaming – about gaming REIT earnings, pretty open book. So with that, let me turn the call over to Steve Snyder, who will give you a lot more detail. Steve?
Steve Snyder: Thank you, Peter and good morning, everyone. Hope everyone is staying safe and healthy through these crazy times. Just to clarify, although we’ve been trying since last evening, we did file our second quarter 10-Q this morning in spite of some interruptions to the EDGAR system with the SEC. Before I move into the quarter, I just want to touch on some personal things and bear with me this will only be a few minutes. Obviously, my retirement is something that I’ve been thinking about for quite some time, just having reached the age of 60, believe it or not. And about to be a first time grandfather, my wife and I have bought a place in Nashville and we look forward to spending a lot of quality family time in Nashville in the next years to come. So, it has been a fantastic run here at GLPI and previously at Penn. I joined Peter back in the late 1990s, and I’ll be forever grateful to Peter, to the Board here at GLPI, and to the Board at Penn originally for giving me the opportunity to contribute to two transformative companies. I think while we were at Penn, we laid the foundation for Penn to now be the leading regional gaming operator here in the United States. And certainly, over the last seven years at GLPI, we’ve created a new asset class in the triple-net lease space, which others have come to copy, which to me is the highest form of flattery. Finally, the value creation that we’ve been able to achieve at both these companies is a testament to the talented and dedicated team members. I’ve had the privilege to work with over these many years and I’d be stepping away with a very talented group of the next generation of leaders for this company. So, I look forward to it. Moving forward into the quarter, it certainly was, as Peter mentioned, a strong quarter. it exceeded even the most optimistic scenarios that we looked at back in the dark days of March and April, and trying to evaluate what this unknown pandemic would mean to our businesses. Clearly, it’s not over, it seems to be heating up in certain parts of the United States and gaining a little bit less traction in other parts of the United States. What we think the company, and most importantly, our operating partners, our tenants are well positioned to weather and get to the other side of this unprecedented pandemic that we’re currently seeing. Part of the outperformance that we’ve achieved has really been across all variable items in our business. The percentage rents in our Columbus and our Ohio businesses since they were able to reopen in June, exceeded our expectations, the operating performance in our two operating assets in our taxable REIT subsidiary just wildly exceeded any assumptions that we had made when we scenario-planned back in March and April. I give a lot of credit to our VP of Operations, Matt Hisco [ph] down in Perryville, who is also the GM in Perryville, as well as Jeannie Magnafrell [ph], our GM in Baton Rouge, and their teams for very effectively and efficiently, literally shutting down a business, furloughing folks and then bringing those businesses back online with unprecedented performance over the course of the weeks that they have been open. Lastly, on the expense side, we really were able to also outperform from an interest expense standpoint and you’ll see that in the press release in terms of the effective execution that we did achieve and accessing the capital markets to term out some of our variable rate debt. Also during the quarter, as Peter touched on this, we spent a great deal of time, collaborating very closely with all of our tenants, and that’s evidenced in some of the items that are highlighted in the press release. Spent a lot of time with our brethren across the parking lot at Penn coming up with rent credit program that really allowed them and proved to be the catalyst for them to achieve some pretty significant performance with respect to access to the capital markets, and most recently performance with respect to their assets. Also, the new Caesars team, we spent quite a bit of time with him. You saw that as evidenced by the lease amendments that we entered into, which I think really helped them set the stage for getting the final regulatory approval with the accommodations that we worked with them on with respect to the substitution of the assets in Indiana. So, I’m certain that they will perform quite well now that they’ve got their new platform under their belt. And lastly, we also spent quite a bit of time during the quarter with the folks at Boyd as evidenced by the approval of the Ohio Racing Commission to own the real property assets of Belterra Park, which now does stand in a separate lease. So, we have taken that real estate onto the balance sheet and no longer have a loan in place with respect to that asset. Also with respect to our public tenants; in all cases, we spent quite a bit of time providing them the necessary relief from non-payment covenants in all of our leases to give them runways back to normalization. Because these, as I’ve said, are truly unprecedented times, and there’s no point in using these times for a footpath under our existing leases. They need to get through to the other side and are well on a trajectory to do that. Lastly, in terms of the portfolio, we spent quite a bit of time during the quarter with the folks at Casino Queen. they were successful in procuring alone under the Payroll Protection Program plan that the federal government did put in place. We did get, as you’ll see in the earnings release, a partial June rent payment of about $250,000. And we do expect to execute a deferred rent agreement with the new owners of the Casino Queen that will get us paid in full by year-end. We have elected to go to just cash recognition of the rent receipts from Casino Queen, given the situation that we find them in at this point in time. Finally, from liquidity and a balance sheet standpoint, we ended the quarter with an undrawn revolver with a complete capacity of $1.175 billion. We ended the quarter with $74 million of cash on the balance sheet, in terms of any near-term maturities; we’ve got a $224 million term loan A1 that is due in April of next year. but beyond that, there are no other maturities until 2023. So, the company has been a tremendous liquidity position at this point in time to get through what remains of this pandemic. As it relates to leverage, you will note that our leverage did tick up modestly in the quarter relative to our EBITDA, not because the debt increase, in fact the opposite, but because of the modest decline in EBITDA affected by the pandemic. And we did, as it was noted in the press release, their second quarter dividend 80% in stock issuing about 2.7 million shares. And I will note for those on the call that that $0.60 quarterly dividend ended up being the lowest payout ratio that the company has ever paid at about 71% of the $0.84 AFFO that we reported, because you will see from the press release that our performance did exceed any of the consensus estimates that were out there on Wall Street. Finally, as GLPI moves forward, we clearly are still in the fire of this pandemic. But as Peter mentioned, I’m very comfortable that regional gaming assets and our operating partners in particular, will lead the recovery of this asset class. And once normalized, our tenants will achieve the strongest four wall coverage of their lease obligations in the entire asset class. So with that operator, why don’t we turn it over to the participants for any questions they’d like to address to the management team?
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Barry Jonas with SunTrust. Please proceed with your question.
Barry Jonas: Great. Thank you. First off, Steve, I just wanted to say congrats. It’s been a real pleasure working with you over the years. So, thanks for everything. And I guess I’ll start just with the dividend, is this the appropriate level? Is this the appropriate rate here and how are you thinking about the payout ratio going forward?
Peter Carlino: Well, let me takeaway, it’s Peter; let me take a quick whack at that. Look, we’re going to do that ever is prudent looking ahead. Steve has said earlier, we’ve matched what we’re paying out in cash to what we get in cash. We expect the fall to be actually excellent. And so that we’ll be taking a hard look at what the next quarter might offer exactly. But we’re not going to make any commitment about that now, but I will highlight that as a shareholder, who kind of loves dividends personally that we’ll get back to a normalized rate as early as we think is prudent. And that’s really the best answer I can give you.
Barry Jonas: Okay. Fair enough. Next and maybe, this is a question for Matt, but maybe, just talk generally about the M&A environment. What does the pipeline look like? What’s your appetite here?
Matthew Demchyk: Sure. Yes. So, the top-down answer is really that the stage seems to be set – at least partially set for there to be some activity in the space. There’s one thing that COVID taught us, it’s that there’s certain importance to solvency, and the value of permanent capital in our lease structures really as permanent capital gets. You can also look at where operators have priced debt in recent trades, and that suggests that our capital is attractive from the cost perspective. And when we look at our capital sources, we definitely see a functioning capital market. but from a bottom-up perspective, it feels a bit too early or soon, operators really been focused on survival, successfully reopening their properties. And the real question is going to be when they’re going to be strategic reasons, be they rationalization, consolidation, regulation for assets to change hands. And when that happens, because of the ability to both help in pricing for transactions, and also the help with permanent capital in that maturity risk question, our sale leaseback structures, value proposition is really as relevant as ever and we definitely have been working to ensure that we have a seat at the table for all those discussions.
Barry Jonas: Great. And then just the final one, Peter, you kind of touched on this, but as you look across the triple-net sector, maybe even beyond that, how do you see GLPI and the gaming REITs positioned in a long before coronavirus, there was an argument for cap rate compression, where do you think that stands now either coronavirus?
Peter Carlino: You kind of know what my answer’s going to be Barry. It’s better than ever. Look, we always said that these are state-sponsored businesses and most – that rely heavily on the kind of revenue that we generate for them. And that these places essentially don’t close, even through tough times, you saw it Caesars, the operations still continued, life went on, maybe the ownerships kind of changed hands, but this stuff is about as bulletproof as it gets and I’m not going to live when I say, because there’s always some surprise, maybe in the future will appear, but I think this demonstrates perfectly, how rock solid the income coming out of not just us, but our gaming partners, gaming REIT partners really is.
Barry Jonas: Perfect. Thanks so much.
Peter Carlino: Thanks, Barry.
Steve Snyder: Thank you.
Operator: Our next question comes from the line of Carlo Santarellis with Deutsche Bank. Please proceed with your question.
Carlo Santarellis: Hey guys, how are you, and Steve, congratulations. guys, I know this is going to be hard to answer, but it was recently obviously in the paper earlier this week, kind of the Tropicana is beneficially listed and could you talk a little bit about in the couple of months now, since the transaction the way, maybe, your thinking has evolved, as it pertains to potentially, working with somebody in some form of mixed use versus an outright sale of the property versus kind of any other agenda you could potentially have at this point?
Peter Carlino: Well, there’s an easy answer to that, and that is that as things settle out and they’re certainly not settled in Las Vegas right now, it’s hard to guess. We’ll do whatever makes economic sense for this company. We’ll look at every opportunity, all opportunities, partial sale, partial sale lease about grand leases. I mean, you can go through a litany of things that we’re open to, and even though we’re having some discussions, albeit – early, that will lead us to the right answer. I think the key is, we have a valuable piece of real estate in Las Vegas and we got fairly priced. We feel very confident about that. And as this evolves, we’re just going to try to maximize value for all of us here and for you.
Steve Snyder: And Carla, just to amplify on Peter’s point, I would make it clear that these 35.1 acres are strip frontage, others talk about strip proximate. There’s nothing proximate about being on the corner of Las Vegas, Boulevard and Tropicana, Boulevard. This is the corner of main and main and you know everything that’s going on down there with respect to the stadium opening and everything else. So, it’s really a matter of being patient letting Las Vegas come back to some feeling of normalization. But in spite of that, to Peter’s point, there have been folks that have been making inquiries, because this has been an ongoing process and in spite of the Las Vegas Review-Journal, just sort of suggesting it’s just been listed. We stepped into Penn’s shoes in this process and they had started this process well over a year, year and a half ago. So, it is something that will continue and to Peter’s point with the goal being maximizing value for GLPI.
Carlo Santarellis: Great, thank you both, guys. And then if I could, it’s been a question that’s come up for years in terms of your interests outside of the gaming space and it’s – that would have been something that made a ton of sense, but in the current environment, where as some of the entertainment-related companies, maybe aren’t seeing that the multiples that made the transactions a little bit more difficult from an accretion perspective in the past. Has there been any and some of that is as obvious as valid as the business models are very troubled at this point. but has there been any change in kind of your view of non-gaming related assets since the pandemic?
Peter Carlino: Well, it’s Peter. as I had indicated earlier, look, we’re happy to be in the space we’re in and thankful, we’re not in some other spaces right now, where people are hurting a whole lot more. So, but what you’ve asked is does that open opportunity in some other sectors? Look, I think again, we have to wait to see how things settle out. It may create some opportunity for us, but again, the struggle has always been, and I said this when we started seven years ago, since we doing this show me a better business in the one we’re in, show me a business that has the cash flow certainty that we have, and we’re about to prove it, we’re proving it now. So that’s always been the struggle. When we’re on the road, talking to investors and to all of you, it’s really a matter of – we’re trying to make the case. We are in a business. It is about as bulletproof as it can get. It’s not about occupancy. It’s not about tenants canceling. It’s none of that can happen. So, we’re looking something may well emerge. I mean, I’ve always said, I used to say on the Penn side, if it’s alive and breathing, you can imagine we’re looking at it. I mean, that’s still was kind of our philosophy, but we’re going to be patient. We’re going to see what may change and we’re looking to the future growth of this company. But again, prudence caution, remembering who we are staying close to the – to our core value of safety for shareholders isn’t going to change. So, we’ll see – we will see. you may well have a good observation that this is going to open up something for us. And if so, we hope to identify it.
Carlo Santarellis: Great. Thank you, guys.
Peter Carlino: We’re open to anything. I mean, that’s pretty much the answer.
Carlo Santarellis: Appreciate it.
Peter Carlino: Thank you. Thank you very much, Carlo.
Operator: Our next question comes from the line of Jared Shojaian with Wolfe Research. Please proceed with your question.
Jared Shojaian: Hi, good morning, everyone. Thanks for taking my question.
Peter Carlino: Good morning, Jared.
Jared Shojaian: So, if casinos are going to come out of this crisis and a new normal of higher profitability, but potentially lower revenues, like what we’re seeing right now, how does that affect you with the rent escalators tied to revenue? And is there anything you can do to address that or does it frankly not matter to you, because the overall corporate coverage would just be so much better?
Peter Carlino: Well, it matters. I mean, it certainly matters. And again, I’m going to – I’m going to pump maybe, Steve or Matt has – or Steve Ladany has an answer or a different thought about it. but look, like everything else, we’re going to have to wait and see how things go. look, I have faith in ultimately, getting back to the kind of levels we were at before. It may take though a lot longer than we ever would have imagined. In the meantime, I think companies were already working, certainly Penn National was and everybody else as well on improving margins. Now, look, let’s be real. I think the level, the margin level that we’re looking at right now is likely not – I mean, it is not sustainable. I mean, right now, we’re kind of the only game in town, I think in terms of entertainment and things that people can do and get out and – but I think there has been a permanent shift, companies are going to operate more profitably and we’ll have to wait and see what the net result of that is. Steve, do you want to or Matt?
Steve Snyder: first of all, Jared, welcome and thanks for the work that you’ve done in understanding the asset class and initiating in June. So, it’s great for you to take the time to drill down into heavy drilling. in terms of yet the escalators, clearly, as Peter mentioned, we do expect to see permanent margin improvements in these businesses, which will drive four-wall coverages, so that there is the ability to realize escalators. But I think the bottom line is look at the amendments that we’ve made with new Caesars under the Tropicana lease and see what is in those amendments that drive known future same-store sales growth in the form of escalators. And those are the kinds of things to look for on a go-forward basis in my mind from GLPI, just to be specific with respect to your question.
Peter Carlino: that’s fair answer. anybody else at the table, want to add?
Matthew Demchyk: Jared, if you look at it from the perspective, the vast majority of our rent is subject to escalation based on EBITDA. So, the bulk of it does get the benefit of some of these trends. And when you think about variable, right – you’re right, there could be headwinds that we’re working to protect and protect our cash flows through steps like these brought up with Eldorado and also going forward, you should expect us to continue those efforts and help the value of the cash flow.
Peter Carlino: Thanks, guys.
Jared Shojaian: Great. Thank you. And then assuming Caesars decides to swap out Tropicana Evansville out of the lease as you’ve granted that option, and then they look to sell it for regulatory reasons. Is that an asset that you would bid on?
Peter Carlino: Absolutely – oh yeah. See, Ladany just for fun, you’ve been silent for a bit. You’ve been keeping that we all have, but...
Steve Ladany: no, I think, look, I think the short answer is yes, we own the asset now. We like the asset, it’s performed very well and it’s a quality property with known competition. I think we would definitely have an interest in it. I do think it will be interesting to see how that entire process rolls out, because as you’re well aware of the other two divestiture requirements in Indiana, or both least currently to one of our competitors. So, we’ll see how we can be involved in that process, but we do have an interest.
Jared Shojaian: Okay. Thank you very much.
Peter Carlino: Thank you.
Operator: Our next question comes from the line of Finbar with bank of America Merrill Lynch. Please proceed with your question.
Finbar O’Herlihy: Hey, guys. Thank you. I’d like to echo all the sentiment towards, Steve. a quick one from our side of – think about the TRS Properties, specifically Baton Rouge, do you guys go through some of the long-term strategic importance of that? Do you see it having a place in your portfolio or would you look to do something similar to Perryville?
Peter Carlino: Look, I think we’ve been pretty public about that. I personally have a great affection for that property is one of the early ones that we bought and I really do, but look, I think ultimately we’re a REIT and that’s probably where we’re going to need to be. I say that, but happily, there’s some interesting opportunity and that of course, is the possibility of moving that boat landside. We have orchestrated, in fact, Steve Snyder had directed at effort. with the team that we’ve used in all of our Hollywood properties and guys I’ve worked with from the very beginning Don Bangert and the Genesis folks in California to do a Hollywood thing facility landside for a relatively modest budget. It’s pretty exciting. I’d like to see that through there’s some other things happening in Baton Rouge that are actually very appealing. So, there is a real opportunity to do something good with that property. beyond that, I’m not sure what happens, but I would like to see through assuming we get approval that in fact this month or in August coming. We get approval to move landside with a modest, but very attractive facility. The spend is going to be very cautious, but I’ve seen plans. They’re terrific. We just got to go sell them to the folks in Louisiana. And so I stay tuned for that. I think that property has some room to move and we’ll see.
Finbar O’Herlihy: Great, really appreciate it. That’s all from our side. Thank you.
Peter Carlino: Thank you.
Operator: Our next question comes from the line of Jordan Bender with Macquarie. Please proceed with your question.
Jordan Bender: Good morning, and thanks for taking my question. First off, thank you, Steve, for everything and best of luck in retirement. So, my first one here to kind of touch on the CFO search. Is there anything you’re looking for within a candidate someone with REIT experience, gaming experience anything you can provide there?
Steve Snyder: Look, I’d love to answer that question, but I don’t think that’s inappropriate or this is inappropriate forum for it. If you want to give me a call directly, be happy to chat about it and so forth. But in an open call like this, I think it’s much – it requires a much more nuanced answer than I would be prepared to give now. So if I may, it’s one of the few times I’ve got to dodge a question.
Jordan Bender: No worries. Okay.
Steve Snyder: We’re happy to discuss it separately later.
Jordan Bender: All right. And then do you expect to restructure the lease with Casino Queen given that it’s been under the minimum coverage for some time now?
Peter Carlino: Steve Ladany, do you want to take that?
Steve Ladany: look, I think, we’re currently in discussions with the current management team there, as well as the current secure debt holder around that transaction and what’s going to happen with that property going forward. as you may have seen, they just announced the DraftKings’ transaction, which from our perspective, is very positive, should support the performance of the property and therefore enhance our rent coverage. So, there are a number of things going on behind the scenes and we’re working on with them. We are working closely with them and we hope to have that entire lease in a much better place going forward.
Peter Carlino: Yes. it looks like, I mean, in summary, much improving situation there.
Jordan Bender: Okay. Thanks guys. I’ll pass it off.
Peter Carlino: Thank you.
Steve Ladany: Thanks, Jordan.
Operator: Our next question comes from the line of Thomas Allen with Morgan Stanley. Please proceed with your question.
Thomas Allen: Thank you. So – and Steve, thanks for all your help and the best wishes. So, Peter, you’ve been around the industry for a little bit. You made some interesting comments earlier that I don’t think anyone disagrees with you, but that the margin levels we’re seeing right now are not sustainable. And 16 years are the only game in town. If you look at regional properties and true regional properties or EBITDAs right now are growing in those kind of mid-to-high teens. what do you think like if we go out a month or two in the current environment sustains, what do you think career with that growth is going to be for regional properties? Thank you.
Peter Carlino: Well, Steve, if you want to say, it looks like he’s ready to.
Steve Snyder: good morning, Thomas. let me give you a couple of data points, because I know you’re a data junkie. I’m a data junkie. I’m looking at our TRS properties earlier this week in July. I mean, our volumes in the two properties were up nearly 6% on a year-over-year basis. And our EBITDA is up over 30% on a year-over-year basis in those two properties. that does not feel sustainable. The issue really is where does the world normalize when we get to the other side of this whole COVID-19 situation and there’s still a risk, because you got 50 governors out there. Of course, only 16 of them affect us that you might see governors roll things back as they’re starting to do. But I think we, as an industry, have proven our ability to provide adequate social distancing. We and our regulators have enforced mandatory masks for anyone coming on our gaming properties and those are the things that have allowed us to realize the performance that we’ve realized in our taxable REIT subsidiary and our operating partners are realizing in the facilities that they operate, which we own. So, it’s too early to tell, it is really the bottom line. I think to Peter’s point, I don’t know about the volumes, because again, these are capacity limited, and yet we’re doing these upticks that I mentioned. but I do think, and others have said Boyd, on their call, we’ve heard from Caesars – new Caesars in their update. And we’ll hear from Penn next week. I think operating expenses have permanently been taken out of these businesses. And that’s where the margin improvements will come from and that’s what I think will drive the four wall coverage improvements that these facilities will see in the not-too-distant future once we anniversary this.
Peter Carlino: Yes. Penn already was the – I think had the highest margins across the board in the regional markets anyhow. They were committed to still a margin improvement program that has been well-publicized. And then you put all this together, I think you’re going to see that all businesses, certainly in the regional sector, are going to be able to operate a lot more leanly than they ever did before. So, we know it’s going to be better, just don’t know where it’s going to settle out as Steve said. We’ve just got to have to wait and see. but look, this – we’re thrilled with the early results.
Thomas Allen: And just as a follow-up, looking at your TRS properties, can you just discuss the demographics that are coming through the properties and driving that 6% volume growth? And is there any way to read into this stimulus tech, where today, I think was the last day, what the impact could be?
Peter Carlino: It’s too early to tell. let me answer the easy one first, which is the demographics slightly younger, seen more table games drop than historical norms, because of that younger and a little bit more male-oriented demographic. And these data points adjust from Perryville, Maryland and Baton Rouge, Louisiana. So, don’t extrapolate these globally. And we’re also seeing a much higher participation by – from unrated play. We’re just seeing much more unrated play, because remember, we have not marketed aggressively, because of capacity limitations. We’ve been fortunate. But Louisiana has provided $5 million in annual tax free promotional credits. One of the reliefs that they’ve provided the industry as a result of this whole COVID-19 situation. So, it just went into a fact. So, these things are still playing out. but generally younger demographic, more midweek, midday business than we’re accustomed to seeing greater unrated play and higher spend per visit at a high level or the demographics that we’re seeing.
Thomas Allen: Perfect. Thank you.
Steve Snyder: Thank you.
Peter Carlino: Thank you. Yes.
Operator: Our next question comes from the line of David Katz with Jeffries. Please proceed with your question.
David Katz: Hi, good morning, everyone. And Steve, all the best. none has been more engaging and enjoyable, so well earned.
Steve Snyder: Thanks.
David Katz: We’ve covered an awful lot of information, but I just wanted to propose the notion of getting involved in a category of assets that’s tangential to what you have. What we’re hearing more and more about are hard assets that may house sports betting other than casinos, that could be sports venues, obviously OTBs are near and dear. But how much looking or thinking have you done around those kinds of hard assets, particularly in a world, where all things digital seem to be top of mind?
Peter Carlino: look, I think we spent a lot of time looking at both opportunities, or potential threats to our business as we look to the future. So, the quick answer is we spent a lot of time talking about that here. Remember that this is going to unfold though in a state-by-state basis. Some states are going to be completely bricks and mortar oriented. There’s a potential that in some places like, I guess in Washington D.C., or I understand that Michigan maybe, he was talking about anybody in his – their kids can get a license to do this. I mean, it’s just open to the – almost anyone, that’s a suggestion, it hasn’t happened. but so we have to see how it’s going to unfold. Look the states have and I can speak a little bit with about Penn National. I do think they are largely focused on legislation that supports their bricks and mortar facilities. There’s plenty of reasons, employment otherwise that the states ought to be sensitive to that. But the truth of it is, it’ll be up and down. Some states will be highly sympathetic to the bricks and mortar protection. Other States may be less so. we’re very early in the game and I think we just kind of have to keep an eye and see how this unfolds. That would be my answer around the table, anybody want to add his?
Matthew Demchyk: I’ll just add, David. When you think about things outside of gaming, the gating factors are really, does it fit our competitive advantages and our institutional skill set? Does it have durable qualities similar to the assets we already own? Does it have an attractive risk-adjusted return profile, a predictable growth profile and also a margin of safety? And if we can find those attributes in some of the areas that you’re suggesting make no mistake, we’re looking and we’ll certainly move when prudent.
David Katz: Okay. If I may just follow up, I know we’ve talked a fair amount about the Tropicana, Las Vegas. Is it fair of us to assume that the full range of options, including you continuing to own the real estate and bring in an operator is on the range of outcomes?
Peter Carlino: Well, the quick answer is we look at everything again, you’ve ever heard me say that ad nauseum. it’s hard to guess where this is going to go. I mean, I think we’ve tried to leave the impression that we’re very open to look at anything that is profitably, safely prudent for this company. And that could be, it’s just a straight up sale for the highest dollar we could get or something more longlasting that we believe grade’s value for our shareholders. And that’s what drives the entire thing. So, we suggested until the market kind of settles out. We’re going to be patient. We’re going to look at a lot of things. There are people as Steve Snyder offered before that are talking to us about stuff. Well, okay. Let’s see a check and we’re – let’s see a concept that we can accept. So again, it’s a squishy answer, because frankly, that’s where we find ourselves right now.
Matthew Demchyk: And the outcome probably will have some sort of counterparty that wants to bring capital to the table at some point, because it doesn’t seem the highest and best use is not the exact configuration that the property is in right now.
David Katz: Got it. Thank you for taking my questions.
Steve Snyder: Thanks, David.
Peter Carlino: Thank you.
Operator: Our next question comes from the line of Jay Kornreich with SMBC. Please proceed with your question.
Jay Kornreich: Hi. thanks very much, guys. So, to follow up on the acquisition potential, is the pandemic creating new opportunities for you as hotel operators, maybe looking to raise capital by selling the real estate for the first time?
Peter Carlino: Pardon me, again – I’m not sure I understood the question. So maybe, unless Matt, you kind of got it?
Matthew Demchyk: You mean kind of just originating new sale leasebacks as an alternative capital source.
Jay Kornreich: Yes. I’m saying there’s a number of casino operators that own a 100% of the real estate, not yet working with the gaming REIT. So, does this environment provide incentive for them to look to raise capital by working with you guys to sell the real estate?
Peter Carlino: We hope so. It certainly could.
Matthew Demchyk: Yes, exactly.
Peter Carlino: Where’s the public market pricing, their entities. And is it giving them appropriate value or not? Arguably, right now, I mean, there’s certainly dislocation in pricing if that persists for a longer period of time, but certainly, it could be an opportunity, but I’ll point you back to the original comment it’s right now, it’s really too early to tell. We’re certainly engaged though and in dialogue and we make those suggestions all the time, because not only do you get some balance sheet arbitrage, but you also get the permanency of capital that we talked about, which can ultimately lead to higher values for the companies. So, computer’s point, we certainly hope so.
Jay Kornreich: Right. Okay. Thank you for that color. And then switching gears, relating to the approval to own the Lumiere Place casino, is this a new single asset lease like you similar similarly did with the Belterra Park loan and if so, why not get the protection that comes with placing it in the operators master lease?
Peter Carlino: Well, let me just for fun. Because he hasn’t said anything yet, our general counsel of Brandon Moore, at least talk about how we’ve structured that as to where it goes thereafter and what – go ahead, Brandon.
Brandon Moore: Yes, I think the future of whether or not that remains in a single property lease is something that’s far down the road. at the moment, the Missouri Gaming commission permitted that property to be transferred to Gaming and Leisure Properties pursuant to a one-off single lease. And so at the moment, that’s where it will remain and as I said in the future, we can take a look at that, but for now, that’s where it will be.
Peter Carlino: Jay, one of the other things that you should be aware of too, as part of the regulatory approval for that our operating partner or our tenant, their new Caesars has committed to investing capital in that facility and they’ve made it very clear that this was a key asset for them in a key market to be in St. Louis. So, in terms of the risk of a single asset lease, I would suggest to you that the tenants disposition should be the counterweight to any concern that you might have, or anyone might express by the fact that this isn’t going to be a single asset lease to satisfy the regulators.
Matthew Demchyk: You looked at a very, very high quality property. We’re delighted to own in any case. So again, I have a lot of confidence in the real value there, whether it’s current operator, which we expect it will be forever or somebody else. It’s a quality asset that we’re delighted, frankly. And I credit Brandon with tremendous work to get that done in Missouri. So, it’s a big accomplishment this quarter, huge accomplishment for us and we appreciate all, who made it happen.
Jay Kornreich: Got it. Okay. Thanks so much, guys.
Operator: Our next question comes from the line of Spencer Allaway with Green Street Advisors. Please proceed with your question.
Spencer Allaway: Thank you. Given that economic backdrop, I’m just curious, have you guys considered waving your tenants CapEx responsibility embedded in the lease agreements simply to improve tenants liquidity over the near-term?
Peter Carlino: Well, it’s so small. Yes, look, I know one of our peers talks about that frequently. look at our leases, our leases capital expenditure requirements are 1% of revenue and it’s pretty easy to satisfy that in zero revenue months. So, unlike our peers that has not been a topic of great concern among our operating partners.
Steve Snyder: Yes. Look, we’ve made a judgment early that if tough – times got tough, remember we created this industry and we set up, and maybe in hindsight, there’s some things we might’ve done differently. but we made the judgment that if things were tough, because they spend more than that anyhow, right. So, we just wanted, in a tough situation, to put an amount in. It was just a nominal amount. They spend more than that and just refreshing the casino floor year in, year out. So, it’s such a de minimis burden that it just doesn’t really apply in our case.
Spencer Allaway: Okay. and just regarding Steve’s upcoming retirement, I understand you don’t want to comment on the specifics of the search. but given the retirement date is fast-approaching. Should we expect to see an interim CFO named, if a successor is not identified relatively soon?
Peter Carlino: Just not prepared to answer that question either right now. So, I can’t tell you what to expect, except that we’ll do, we’ll do something that’s smart and sensible. There are a number of alternatives. Obviously, we’re talking about that internally right now. So, I’m going to dodge that with that’s two questions in one outing here.
Spencer Allaway: Okay. Thank you.
Peter Carlino: I have dodge. I’m not sure successfully, but I dodged them.
Operator: Our next question comes from the line of John Massocca with Ladenburg Thalmann. please proceed with your question.
John Massocca: Good morning, everyone.
Peter Carlino: Good morning, John.
John Massocca: So first Steve, let me echo all the sentiments with regards to the help you provided to kind of everyone on this side of the phone with understanding GLPI, it’s always been greatly appreciated. Thinking back to kind of the lease modification that you completed with either, I talked about it a little bit, but any, I guess we’re looking forward to potentially trying to do more of that type of thing. Has the window maybe for that close, given the kind of recovery or can it’s still open to those conversations or is that maybe less attractive now, if given the outlook for the industry seems to be better, it’s hard to say.
Steve Snyder: I mean, look, I’m a tenant doesn’t want to give up any favorable arrangement that they presently have. but look, these things are always trade-offs, negotiations as they need something, we might need something. So, we’ll take advantage of opportunity to fairly, that goes great with tenants to our advantage, where it makes sense and where we can offer something in exchange. That makes sense to them. It’s just – it’s an ongoing process. And you can always assume that we’re looking to our situation, where we reasonably can.
John Massocca: Okay. We’ve done it all along the way.
Steve Snyder: But go ahead, please, John.
John Massocca: I’m going to switch gears if you have any other color on that. Switching more of the acquisition side of things, I mean, I know it’s still early days. It has kind of the activity of the last couple of months, has that impacted pricing on transactions specifically with GLPI and is that increased your kind of return threshold you’re looking for any potential future acquisitions?
Peter Carlino: Matt, you want to go?
Matthew Demchyk: Yes, I’ve just say that, hey, I mean, if you look at the few things that have happened, I mean the key one that we point to is our sale leaseback one of the land at Morgantown, right at a 10 cap, but that came from very unique circumstances. Going forward, if you look at the pieces of what we’re looking for, a strong operator, a strong asset and credit support to strong four-wall coverage and counterparty balance sheet, the ability to access capital, that last piece of the puzzle is obviously more important than it has been for a long time. And it’s been something we’ve been very adamant about getting. So, when we think about risk adjusted returns to our cost of capital, I don’t think that’s changed, but I think about the definition of risk and the way we look at it and that being relevant. And it might steer the types of counterparties that we might want to deal with near term in a specific direction. But the math is the math that you can see we’ve got efficient or at least effective capital markets that are functioning. We’ve just accessed that and the debt markets, and we know where our cost to capital would be. So, the short answer is not necessarily.
John Massocca: Okay. That’s a very helpful. And that’s it for me. Thank you all very much.
Peter Carlino: Thank you.
Operator: Your next question comes from the line of Robin Farley with UBS. Please proceed with your question.
Robin Farley: Great. Thanks. Most of my questions have been asked already. Just one follow-up though when you were talking about the sustainability into July and the level so far, you made a comment that it didn’t feel sustainable and you said something about governors rolling back. Is that – I guess I’m just wanting to understand, is that we think is not sustainable, that there will be changes in some of the state regulations or did you mean not sustainable, because mid-single digit demand is just not how the industry normally grows or did you mean not sustainable because of the that eventually for competitive reasons, some marketing will come back and maybe margins will be able to be as good, at just all of those things, I guess. I just want to make sure I understand what you were saying there? Thanks.
Peter Carlino: Yes. Robin you’re really parsing my words this morning. Thank you. Look, the bottom line is, we are living in just completely uncertain times. And planning for next week is difficult, planning for next month or next quarter is impossible. So, I didn’t mean anything specific. I just like you read the headlines. Watch what’s going on throughout the world. I’m very concerned about it. But at least what we’re seeing right now does provide us with some glimmers of hope, but that hope could be very fleeting depending on how this progresses. And I have not met anyone yet, who’s forecast as to how this is going to progress. I have any faith in.
Robin Farley: And maybe one other question, just thinking about to the degree that the margin that’s come back from, maybe not having, buffets are operating, or some of those lower margin things. I guess, how sustainable is that if as volumes search recover over time or, say these will continue to recover over time, that when somebody else opens a buffet that then you have to as well and all of those, right? And then the same thing with all of the marketing to kind of put margins where they are? Right. I mean, I guess, how do you keep from going back to that if the competition does that to get more market share?
Steve Snyder: Look, that, that that’s a fair question. And that historically has been the problem in regional gaming, whether it’s in Atlantic City or the Gulf Coast or different regions around the country, there’s always been a race to the bottom at times. I shouldn’t say always. There have at times been sort of a race to the bottom in terms of giving away business to drive unprofitable business, quite frankly. Where I personally, and I’m sure Peter and others around the table get their comfort is this industry has been vastly consolidated over the years. This industry is now dominated by large publicly traded companies. The presence in the industry of the data analytics capabilities have improved dramatically in recent years. And I think, and I hope you would agree any conference call that you listen to, whether it’s Keith and Josh with Boyd or Tom and Brad at Eldorado or Jay and his team at Penn they are very focused on profitability. You’re correct. There is a risk that somebody gets out in front in a market, but I really do think that this new focus on profitability is going to lead to the sustainability of the margin improvements, not to the degree, but directionally that we’ve certainly seen over these last few weeks.
Peter Carlino: Yes. Look, I think, Steve has provided the perfect answer. I know through our time at Penn and there were years ago back, historically since industry came regional in the early 90s, there were a lot of places where competitors were blowing their brains out. Those days are over. And I recall when I was running Penn on a day to day basis that, we had a discipline around that. We just simply said, let them go, let them go. We’ll move some business in the meantime, they’ll all come back. So, we always had a very strong discipline. I am a 100% certain that each of the companies we’re talking about now has a much more sophisticated view of markets, values of customers and so forth. So, we’re looking at a different time of world. I’m not overly worried. It could happen on property to property basis in a certain city or town that they put the buffet back as you illustrated. And maybe a GM will decide that that is necessary. But I think there’s a lot more discipline in the industry today. And certainly this whole COVID mess has shown companies that they can operate very profitably with less. So, I’m not overly worried that it’s going to quickly flush away all the games that have been made.
Robin Farley: Okay. All right. Great. Thanks very much.
Steve Snyder: Thanks, Robin.
Peter Carlino: Thank you, Robin.
Operator: Our next question comes from the line of Joe Greff with JPMorgan. Please proceed with your question.
Joe Greff: Good morning, everybody.
Peter Carlino: Hi, Joe.
Joe Greff: And Steve, congratulations on a great career and best of luck to you in your retirement. It’s always been that accessible, helpful, and thoughtful. So thanks for everything.
Steve Snyder: Thank you.
Joe Greff: So, my question does exist with your payout ratio. Most recently at 71% of AFFO and all the things that you’ve done to strengthen your lease structure, the improvement in your tenants performance, and obviously all the things you’re talking about to improve the coverage ratios with tenants margins improving the way it is. What makes you increase that that payout ratio is, where is it really a function of once you kind of get past this year with having a stock component, then that would allow you to go back to that upper 70%, 80% payout ratio. How are you thinking about that?
Peter Carlino: Joe, that was a question earlier, but let me emphasize again, we’re going to get back to exactly where we were before at the earliest moment, quarter, day, hour that we think it’s prudent for the company. We liked where we were. I think shareholders liked it, and we’re going to get back there as soon as we’re satisfied that our, the stability of our cash flows justifies it. So, I just can’t answer it…
Joe Greff: I guess another way, maybe asking it, just to get a sense of how maybe you’re thinking about this Peter, if you’re 71% and it would still be the same consideration matrix as it would be if it were 80/20 stock cash?
Peter Carlino: I mean, no, listen. I think it’s going to be the same.
Joe Greff: Okay.
Peter Carlino: Not going to change. I’m looking around the tables, we have the different point of view, but no, I mean, I expect to get back to exactly where we were, exactly, at the earliest plausible moment. But again, we’re not going to be dumb, and get ahead of ourselves, or get ahead of the market. It’s just about certainty when we’re satisfied with cash flow. Recognize it, look, we view ourselves as an income generating company for investors. I know, I like it and value that. So, we’re focused on generating the income for our shareholders among other things, but that’s probably a primary driver as a REIT. So getting back to the highest possible number and the earliest possible time is kind of driving me a lot. That’s why we work on our balance sheet and do all those things that we do to improve our ability to do that.
Joe Greff: Great. Thank you guys.
Steve Snyder: Thanks, Joe.
Operator: Thank you. Our final question comes from the line of John DeCree with Union Gaming. Please proceed with your question.
John DeCree: Morning, everyone, and thanks for taking all the questions. Steve, best of luck to you.
Steve Snyder: Thanks, John.
John DeCree: It’s a two part question, Peter, you might be best suited for this one, but for Steve, if you have an opinion, I wanted to get your overall view of development of casinos in the U.S. going forward. I think you’ve kind of addressed of sports betting and OTBs earlier in a prior question, but as we look to economic cycles, casinos have been large taxpayers and job creators for state governments. So the direct question is, as you look ahead, where do you see the appetite from state governments and regulators to look to casinos again? And what do you think that appetite for casino developers in your old role would be kind of going forward? Here is there’s some opportunities left is our appetite, what’s your just kind of overall outlook on, could we see another wave of development on the other side of the pandemic?
Peter Carlino: It’s, – look, if you’re looking at existing States, sometimes there are constitutional limits on how many properties can be there. Some, there are certainly legislative limits, but look, there have been States that may change our own state here in Pennsylvania has done some, I call dumb things, frankly. And I don’t mind putting that in print, but the industry still will flourish and is strong and so forth. You may see things on the market, and you see what’s going on in Illinois. There always something odd going on in that State. I look, I think there’s development potential. I hope somewhere in my lifetime, you see Georgia come around because it’s a great opportunity. We’d like to be there and be part of anything would happen there. And by the way, we’ll look at new opportunities ourselves, partner with others, or even directly, if we had to be a competitor to put a stake in the ground and make sure we’re in any new – in any new market taxes I hope in my lifetime. Finally comes around to allowing gaming in that state and not giving the money away to Oklahoma and to Louisiana and so forth, no criticism of either of those States, but leaving a vast amount of dollars on the table. So, I hope someday that’s going to happen. So, I think you’re going to see, there are some major markets it’s still are open and we’ve seen it everywhere, right? Sooner or later, they’re all going get there. Two existing States, yes, you could see some things on the fringe that would occur, maybe opportunity, maybe opportunity. It’s hard to – it’s kind of hard to know anybody else want to add to that? I mean, now we’re talking crystal ball stuff.
Steve Snyder: Yes John – talked about this, obviously over the years. I mean, we consciously looked at the environment when we spun the real estate out. There aren’t too many States left, whether it’s because of the incumbents that obviously lobby against because of tribal interests that lobby against, or in the case of Texas because of conservative interests that lobby against it is a very difficult task to go from no commercial casinos to allowing commercial casinos. That being said, obviously, markets like Arkansas and Virginia are developing new casinos at this point in time. So there will always be some limited opportunities, but I think the big opportunities for better or for worse are behind us.
Peter Carlino: Well, let me add, more recently in relatively recent years you had Maryland and you have Massachusetts. So it is a slowly evolving process, but Steve’s right. The number of real opportunities is dwindling. There’s some big ones.
Matthew Demchyk: John, I’d just point out when you think about the incentives. I mean, you’ve got to States that have to balance their budgets in the short term, the immediacy of the cash flows for them. If you look at casinos, it isn’t the top of the hierarchy, right? There’s a lot of other things they can do that can generate revenue more quickly, especially when you look at the timeline in Massachusetts, from the enablement legislation to when things actually got, got developed in the cash flow into the state. I mean there’s multiple years in between there.
John DeCree: Thanks for all the inputs. And we could probably talk about that one for hours, but I’ll leave it at that. Thank you. And good luck, Steve.
Peter Carlino: So we’ll hope for more event venues to open and that’s part of our job is to be alert to that. So look, we thank you all for joining us today and publicly. Let me thank Steve for more than 20 really incredible years. And I can’t, since I hadn’t planned to say this, but I don’t mind saying it in front of Steve, much of the success that this company is built on, of course comes from our years at Ben and no one had a greater influence on the success of that company than Steve Snyder. So thank you, Steve.
Steve Snyder: Thank you, Peter.
Peter Carlino: Thanks all. Operator, thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.